Operator: Good morning, and welcome to the AZZ incorporated Second Quarter of Fiscal Year 2014 Financial Results Conference Call. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Mr. Joe Dorame of Lytham Partners. Please go ahead, sir.
Joe Dorame: Thank you, Denise. Good morning, and thank you for joining us today to review the financial results of AZZ incorporated for the second quarter of fiscal year 2014 ended August 31, 2013. As Denise indicated, my name is Joe Dorame. I'm with Lytham Partners, and we are the Investor Relations consulting firm for AZZ incorporated. With us on the call, representing the company are: Mr. David Dingus, President and Chief Executive Officer; Mr. Dana Perry, Chief Financial Officer; Mr. Ashok Kolady, Senior Vice President and Chief Operating Officer of Electrical and Industrial Products; and Mr. Tim Pendley, Senior Vice President and Chief Operating Officer of Galvanizing Services. At the conclusion of today's prepared remarks, we will open the call for a question-and-answer session. Before we begin, I would like to remind everyone this conference call includes statements that constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Except for the statements of historical fact, this conference call may contain forward-looking statements that involve risks and uncertainties, some of which are detailed from time to time in documents filed by the company with the SEC. Those risks and uncertainties include, but are not limited to: changes in customer demand and response to products and services offered by the company, including demand by the electrical power generation markets, electrical transmission and distribution markets, the industrial markets and the hot-dip galvanizing markets; prices and raw material costs, including zinc and natural gas, which are used in the hot-dip galvanizing process; changes in the economic conditions of the various markets the company serves, foreign and domestic; customer requested delays of shipments; acquisition opportunities; currency exchange rates; adequate financing; and availability of experienced management employees to implement the company's growth strategies. The company can give no assurance that such forward-looking statements will prove to be correct. AZZ assumes no obligation to update any forward-looking statements, whether as a result of new information, future events, or otherwise. With that having been said, I'd like to turn the call over to Mr. David Dingus, President and Chief Executive Officer of AZZ. David?
David H. Dingus: Thank you, Joe, and thanks to each of you for taking the time to join us for the conference call for the second quarter of our fiscal year 2014. As indicated in the press release, we're bullish about our future and the opportunities that have occurred as a result of our expanded product and service offerings. These opportunities are both domestic and international. We are naturally disappointed that capital and maintenance shipments of on-hand Electrical and Industrial Products segment orders, in excess of $35 million, has been deferred beyond the current fiscal year and is having a significant impact -- adverse impact, on our current fiscal year guidance. Additionally, the slower-than-anticipated increase in the Galvanizing has impacted volumes in excess of $10 million. We will discuss this impact more in our prepared remarks. We still anticipate that fiscal 2014 net earnings will reflect a meaningful improvement over our prior year fiscal year results. Our assimilation of the new acquisitions continues to progress smoothly and profitably. We do believe it has been -- brought about better balance between products and services and new products and maintenance of existing facilities. We continue to take advantage of organic actions to further position us for growth. This is an integral part of our strategies for both segments. Our balance sheet remains strong with solid cash flows, which should allow us to further implement our growth opportunities during fiscal 2014 and beyond. Dana Perry, Ashok Kolady and Tim Pendley are joining me on the call today and will be presenting the prepared remarks, as well as participating in the Q&A session that will follow. At this time, I'll turn it over to Dana for the presentation of his prepared remarks. Dana?
Dana L. Perry: Thank you, David. On an operational basis for our second quarter of fiscal 2014, we recognized revenues of $189.8 million and earnings per share of $0.64 versus $153.4 million in revenues and earnings per share of $0.62 in the same quarter last year. Non-recurring items during the quarter include the continued losses related to our fire at our Joliet facility, as well as the gains from business interruption and property insurance proceeds related to this fire. During the prior year first quarter, we also recorded non-recurring items at the Joliet facility as well. Earnings per share for the second quarter of fiscal 2014, without these non-recurring items, would have been $0.57 per diluted share compared to $0.65 for the second quarter of fiscal 2013. Our results for the second quarter reflect the continuation of our integration efforts of our WSI into our systems, as well as our rebranding efforts for WSI and NLI, as a provider of solutions to the markets they serve. Our cross-pollination opportunities continue to be identified with other operations as well. We continue to believe that our balance sheet is one of our core strengths, along with our strong cash flow characteristics, combined with access to borrowings under our existing banking arrangements provides us with adequate flexibility to continue the growth of our company. For the 6-month period, cash provided by operations was $55.2 million compared to $30.1 million in the prior year. Earnings before interest, taxes, depreciation and amortization was $79.4 million. Our total outstanding bank debt at the end of the second quarter was $452 million and our cash position was $42 million. Our leverage ratio, which is defined as our funded debt divided by our cash flow at the end of our second quarter, was 2.82x. At this time, Ashok will give us an overview of the Electrical and Industrial Products Service segment. Ashok?
Ashok E. Kolady: Thank you, Dana. For the first 6 months of fiscal 2014, revenues increased 80% to $200.6 million and operating income increased 47% to $23.8 million compared to $111.2 million and $16.1 million, respectively, for the first 6 months of the prior year. Our revised guidance for the Electrical Products and Services segment is primarily driven by a further delay in the new construction of 4 nuclear facilities. These projects are the Viagro [ph] and Somner [ph] nuclear projects in the United States and the Sanmen and Guiyang projects in China. Most of our businesses in the Electrical Products and Services segment are impacted by this delay and has caused a shift in revenue recognition of $35 million from fiscal 2014 to fiscal 2015. However, we have received significant progress payments on these projects and the AZZ portion of the work is ahead of schedule. During the first half of the fiscal year, incoming orders for our legacy Electrical Products were slightly higher than the prior year, but revenues were lower by 14%. Our reported backlog represents our product orders on hand and does not include any WSI services. In the United States, we are currently experiencing one of the lowest amounts of new capacity additions for domestic power generation in recent history, including renewable energy. This has been a headwind for us in our legacy Electrical Products business. Anticipating this change, we have taken steps to expand our global footprint and to focus more on international opportunities, as the international power generation market continues to be robust, especially in the Middle East and China. The domestic transmission and distribution markets is stable and we do not anticipate any significant change year-over-year. With the addition of WSI and NLI, AZZ is well-positioned to serve the aging energy infrastructure market in power generation, refining and petrochemical segments worldwide. In the nuclear market, in particular, we estimate that utilities will need to spend in the range of $300 million per reactor, related to license extension projects, and an additional $100 million for Fukushima upgrades over the next few years. Many of the products and services offered by WSI and NLI are aligned to capture a meaningful portion of this spending. In addition, the scheduled outages for nuclear facilities will revert back to the high 60s in the coming years, bouncing back from this year's unusually low count of 51. While nuclear utilities have pulled back on all other nonessential spending in anticipation of these major projects, we continue to remain optimistic in our outlook for the future. Our mix of products and services, combined with our balanced global footprint, has positioned us well for the upcoming rebound in the domestic market and for further international growth. Tim Pendley will now give us an overview of the Galvanizing segment.
Timothy E. Pendley: Thank you, Ashok. For the 6 months period ending August 31, 2013, Galvanizing volume was down 2.6% as compared to the previous period, but revenue was higher on improved pricing. The softness in the utility transmission market continues to be the principal factor for the softer volume. Although the Galvanizing Service segment continues to be slightly under last year's pace, there continues to be optimism driven by the growth in our OEM, our agriculture and our industrial markets. These positive market improvements have been overshadowed by the softness in the transmission market, the stagnation in the solar market and the continued weakness in the petrochemical market. Our Canadian operations were negatively impacted by a 3-week long construction labor strike in Montréal during the month of June. As we move into the second half of our fiscal year, we are optimistic that we will finish the year above the previous year's performance. Our optimism is grounded in the return of the petrochemical projects along the Gulf South, beginning in mid-third quarter. These projects, although they have been slow in coming to fruition, are driven by the growth in the United States' natural gas resources and are projected to provide an increase in ethylene production of 11 million tonnes over the next several years. We are also anticipating growth in the fertilizer industry with several projects waiting for start dates. Our electrical utility market is also showing indication of an uptick. Small solar field projects are increasing in number and pole manufacturers have indicated their volumes will be improving beginning in mid- to late October, carrying through year end. Our Joliet facility reconstruction is nearing completion and we look forward to having this facility back online. We are currently looking at a soft start at Joliet beginning in mid-October and ramping up to full production through November and into December. The overall diversity of our markets that we serve and our broad geographical footprint continues to provide overall stability in our year-over-year performance, minimizing the impacts of low GDP growth and undulations in the individual markets that we serve. David will now give us his closing comments.
David H. Dingus: We remain committed to setting the standard in quality and service that would position us to take advantage of the opportunities to maximize volume and market share, while maintaining pricing for all of our products and service offerings in both segments. The completion of another successful quarter, the financial strength of the company and a great group of employees is reflected in our second quarter operating results and the confidence that we have in our future. Based upon the evaluation of information currently available to management, we are revising our previously issued guidance for fiscal year 2014 for revenues to be in the range of $780 million to $810 million and for earnings to be within the range of $2.45 to $2.65 per diluted share. The continued delay in new construction for domestic and international nuclear power projects and the delayed start for the petrochemical projects in the Gulf Coast has resulted in a significant portion of our backlog in the Electrical and Industrial Products Services segment, as well as projected volume in the Galvanizing segment, to move out of the current second half of fiscal 2014 and into fiscal 2015. Our third quarter guidance for revenues will be in the range of $210 million to $230 million and our earnings are anticipated to be in the range of $0.65 to $0.75 per diluted share. Our estimates assume that we will not have any appreciable change in our current market conditions, competitive activity, including pricing or additional significant delays, and the delivery or timing and the receipt of orders over the -- our Electrical and Industrial Products and the demand for our Galvanizing Services. The strength of our balance sheet, the confidence of the management team and strong customer acceptance of our expanding products and services gives us the confidence to aggressively pursue additions to our products and to our markets. Thank you for your participation today, and we'd like to open it up, at this time, for any questions that you might have.
Operator: [Operator Instructions] The first question will come from Schon Williams of BB&T Capital Markets.
Christopher Schon Williams - BB&T Capital Markets, Research Division: I want to talk, first of all, the revenue guidance for next quarter assumes a fairly significant step-up in revenues from where we were in the Q1 and Q2 time period. Can you just talk about where you see most of that step-up occurring and why you have the confidence that it will occur?
David H. Dingus: Ashok, do you want to?
Ashok E. Kolady: One of the biggest step-up here is the WSI business, which has the third quarter as our largest quarter. So for WSI, the step-up would be approximately $25 million to $30 million in revenue.
David H. Dingus: So it's, primarily, the seasonality that we've talked to you about before the third quarter is traditionally, as it should be, our strongest quarter. And it has been impacted by some of the delays, but it is still going to be, we believe, one of our strongest quarters of the fiscal year.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Okay. And then maybe this will be another question for Ashok. But could you talk about what the margins at WSI looked like this quarter? Was that business actually losing money? And do you feel -- are you still sticking with the guidance of kind of getting to the high single-digit margins for that business this year and kind of low double-digit margins for next year?
Ashok E. Kolady: Yes, we are. The WSI business was profitable this quarter. As we had mentioned at the last conference call, the summer peak months are their lean -- the lean months, these 3 months. And we were able to generate a profit and we were very happy with the progress so far, and we are continuing to maintain them [ph] with the new guidance, the high-single digits for the year and low double-digits for the next year.
Operator: Our next question will come from Brent Thielman of D.A. Davidson.
Brent Thielman - D.A. Davidson & Co., Research Division: The high-teens margins in legacy E&I business, is that sustainable on a go-forward basis? Or how should we be thinking about that?
David H. Dingus: I think it is sustainable and I think that we would have seen even a little bit more improvement had we not lost some of the leverage of some of the delayed shipments for the balance of the fiscal year. So I think the improvement is what we have had anticipated and is reflective of our go-forward. It's volume-sensitive now and as you know in some of these cases, and it's not going to be as strong in the second half as we had thought in the last quarter because of some delays of legacy product. But we're very pleased with it.
Brent Thielman - D.A. Davidson & Co., Research Division: Okay. And I guess with that, it seems to imply you aren't expecting any meaningful profit contributions from the acquisitions in terms of guidance, at least, in the second half. And is that a fair statement?
David H. Dingus: I think that's fair. NLI will continue to be a strong performer. But again, not with the strength that we had anticipated because they're impacted by the delays also.
Brent Thielman - D.A. Davidson & Co., Research Division: Okay. And then -- and Dana, do you have the impact of amortization from the acquisition, I guess, this quarter? And can you kind of remind us when that starts to roll off?
Dana L. Perry: On NLI, it was about a 2.5-year amortization. We're a little over a year into it now. That should roll down about $5 million off of the amortization this year and then wrap up next year.
David H. Dingus: But it's close to $6 million.
Dana L. Perry: Close to $6 million.
Brent Thielman - D.A. Davidson & Co., Research Division: For the year or the quarter?
Dana L. Perry: For the year, for the year only.
David H. Dingus: For NLI only.
Dana L. Perry: Yes.
Brent Thielman - D.A. Davidson & Co., Research Division: Got you. Okay. And then just last one, I know you guys touched on this a little bit, but can you just sort of talk about what gives you the confidence that you'll see some of these investments in some of your markets come to fruition in fiscal 2015? You certainly seem a little more confident about what you see kind of beyond this year.
David H. Dingus: I will let Ashok address those in the Electrical and then ask Tim to give us his confidence that some of these anticipated improvements aren't going to start happening. Ashok?
Ashok E. Kolady: In the Electrical segment, we're bullish for next year because the $35 million that we had identified for 4 specific projects are orders in our backlog that we had fully anticipated shipping this year. So from a product side, these are orders we have on hand that we are executing on schedule internally, delayed by external customer demands. And that's the primary reason we are confident. Plus, when we look at our market segments, especially in the power gen worldwide nuclear markets, the amount of spending they're poised on their license renewal in the U.S., the Fukushima-related upgrades coming up. And in general, how we are positioned in the outage market for nuclear industry, and which is a lower year this year at 51, which is going back to 68 next year. A combination of all these factors lead us to be very bullish for next year versus this year.
David H. Dingus: Tim, do you want to?
Timothy E. Pendley: Certainly. Brent, one of the things on the Galvanizing segment that looks very positive for us is the growth in the petrochemical industry. The American Chemistry Council announced that they're tracking nearly 100 new shale-related projects, valued at close to $71.7 billion in capital spending to be completed over the next 10 years. And that gives us that optimism, that, coupled with the POs, the projects that we already have on the books that we're just waiting for start dates to occur. The transmission market continues, although it’s been in a little doldrums. What pushed that down was the oversupply that the coal manufacturers did in the big growth areas last year. They oversupplied the market. What we're seeing now is a little bubble in that that's working its way through the installations. Following behind that and -- is the continued growth in that market. The other thing that's going to tie to that in the transmission market is also the continued growth of our solar market. We're seeing that pick back up in the smaller fields and we're seeing fields starting to occur in the nontraditional areas, such as Arizona and Nevada. And they're starting to push out into the Northwest and the Northeast. All of that will also improve and then push the transmission market for us.
Operator: Our next question will come from Jon Braatz of Kansas City Capital.
Jonathan P. Braatz - Kansas City Capital Associates: Oil and gas sector, specifically the Gulf of Mexico, there's a lot of drilling activity going on there. And I don't think you participate in the drilling, but eventually, drilling turns to production. And I guess my question is, what kind of exposure do you have to that specific niche market? And is it significant? And anything you can tell me on that in that regard would be helpful.
David H. Dingus: We see that business impact both our segments. On the Electrical side, I can cover that. In our Electrical equipment side, we provide large PVCs and enclosures, including -- for the petrochem facilities. We are a participant in the drilling markets for explosion proof and acid [ph] [indiscernible] lighting, and we also perform -- anytime large industrial facilities come up, our bus ducts are also a part. The pipelines that we're building, which is one of the major growth areas next year, require pumping stations every few miles and we provide electrical PVCs and enclosures for these pumping stations. And now Tim can cover how Galvanizing benefits from these.
Timothy E. Pendley: On the Galvanizing side, we bill, in really, all aspects of it. On the drilling side, if it's water, we're going to be galvanizing the derricks and the equipment going on to those platforms. On the shore side, what we're dealing with is the storage terminals. And on the pumping stations, you're looking at chillers, the compressing units, all the structures still associated with those is typically hot-dip galvanized. And which then pushes us all into the refining aspect, and that's where we're anticipating significant growth in the coming years.
Jonathan P. Braatz - Kansas City Capital Associates: Okay. When everything is all said and done, specifically on the drilling and the production side, can it be meaningful -- a meaningful impact on the -- on your revenues?
Timothy E. Pendley: On the -- for the Galvanizing segment, it impacts us in a positive manner, but it's not significant in total dollars.
Jonathan P. Braatz - Kansas City Capital Associates: Okay. What about E&I?
Timothy E. Pendley: In E&I, we are not a big participant in the direct drilling process on the later stage, transport, pipelines and in process.
Jonathan P. Braatz - Kansas City Capital Associates: Okay. So is it -- it would be important?
David H. Dingus: It would be very important.
Ashok E. Kolady: It is important, but it's not a significant move of the needle. It's very positive in its initial stages. But what it leads to on downstream is where the encouragement comes for us.
Jonathan P. Braatz - Kansas City Capital Associates: Okay, okay. One other question. Dana -- I mean, David, you had talked a little bit about other activities and I get the sense maybe, other acquisitions or something like that. But with your free cash flow at this point, are you more intent on looking for acquisitions or maybe repaying some of your debt?
David H. Dingus: I think over the next 18 months, you're going to see some reinvestment in organic growth activities, some realignment of some of our manufacturing and representation networks and then the pay down of debt. But at the same time, we're still doing our traditional routine of we're working hard on the relationships during this cycle, so that when we hit that point, then we're ready to move forward back to the acquisition side. So I think if you're looking at a timeline that's in the next 12 to 18 months, you're going to see a lot of emphasis on organic growth, a lot of emphasis on the realignment of some of our operations and pay down of debt, and then get back active into the acquisition in an 18-month timeframe. But like I said, we're building those relationships in both segments now because we know the -- at the products where we think that we could fill in to get some significant movement. Just as we've talked to you before, we know our next major move in the Galvanizing needs to be in the international sector. And we're positioning ourselves to do that, and that will take some time to do. So while it is an emphasis on organic and paying down debt, we're not losing sight of replenishing that pipeline of acquisition opportunities.
Jonathan P. Braatz - Kansas City Capital Associates: Okay. One last question, you talked about the international markets in the power generation, will that require a significant investment spend, so to speak, in terms of personnel and infrastructure?
David H. Dingus: No, I mean, it is a significant amount. But I would say, it's going to significantly change what we spend on CapEx nor on the personnel side. So it's very manageable. But I think it's very controllable considering our overall size now.
Operator: [Operator Instructions] The next question will come from Noelle Dilts of Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: I wanted to go back, Tim, to what you said about the transmission pole oversupply. Could you just expand? I think you kind of mentioned it, but can you just expend on what you think caused that? And essentially, I'd also like to know if you can give us how much transmission is down in the quarter, that would be helpful as well.
Timothy E. Pendley: On the pole side, what happened was there's such a huge demand tying these renewable energy into the main grids that there were some -- the pole people just really jumped on it and pushed them out and got them out there, and it got actually more poles out there than they could install in a timely manner and that created the little bubble that we're working in. You have to remember on the transmission side, about 24% of all transmission work was related to the renewable industry. As -- we saw that plateau, we've talked about it being stagnant moving forward, but stagnant at the high level. As new fields begin to come on, that's going to create new demand for the transmission market.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: David, can you talk about your expectations once you start to see that growth resume, kind of what your expectations are for growth in that market?
David H. Dingus: It's difficult to really stick -- to put a number to it at this point. What we're hearing from the pole manufacturers that the market is improving and that it will be picking up.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then could you just quickly tell me what you're seeing in Canada in terms of activity associated with the transmission?
David H. Dingus: Most of our transmission work from our Canadian operations is all import and what we're -- we're seeing the U.S. push the poles up into Canada. We do not deal directly in the pole market in -- with our Canadian operations.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. Great. And then, shifting over to the E&I business. When we spoke last, you guys talked about expecting a pretty significant seasonal upturn in WSI. It sounds like you're still expecting that, although it's moderated. Can you tell us just how much your expectations have come down for that? And then, the quantification of this $25 million to $30 million sequential uptick in the third quarter was helpful. Can you give us some initial thoughts on what you'd expect the seasonal trend to be in the fourth quarter?
Ashok E. Kolady: All right. Full year basis, we are keeping the WSI revenue top line relatively the same, which means a portion of the third quarter uptick we had initially forecasted move from third quarter to fourth quarter, these are specific projects, a large one in South America and one in Europe, they moved from the third quarter to the fourth. So from a yearly basis, we are stable. It is a shift from third to fourth quarter.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then one last question, if I can. You mentioned that the WSI operation was profitable in the quarter, which kind of implies that NLI margins were pretty weak. Can you just discuss the profitability there for the quarter and what your expectations are for the rest of the year?
Ashok E. Kolady: NLI margins, if you go back year-over-year for second quarter FY '13 versus second quarter FY '14, we are exactly the same percentage-wise and even dollar-wise. We're almost at the same number. What it tells us is, NLI again is driven by the outage cycle, which during the summer months is very lean. At the same time, we have to remember, NLI is a significant acquisition-related amortization that would roll out -- that we will roll out a bit this year, and the reported numbers are subdued because of that, as Dana mentioned earlier. About $6 million this year is acquisition-related amortization of profits in the backlog, trade names, things like that. So we are extremely happy with where NLI is, and this is not a surprise this quarter. Plus, a large portion of the backlog that moved out is NLI-related.
Operator: And our next question will come from Rob Longnecker of Jovetree.
Robert Longnecker: Wondering when you expect to get back to organic tonnage growth in the Galvanizing business?
David H. Dingus: I'm sorry?
Robert Longnecker: I was wondering when you expect the Galvanizing business to get back to organic tonnage growth?
David H. Dingus: Well, again, it's tied to, as Tim said, to the particular markets, being the return of the transmission, the buildup in the petrochemical markets. So it's across all of our markets.
Robert Longnecker: But is it for your -- for the guidance you guys have for the next quarter, are you expecting growth, organic growth, in that quarter?
Dana L. Perry: Yes, we are. Once again, we're tied to those base industries that we serve in the petrochemical and the transmission market building back up.
Robert Longnecker: Okay. And in terms of the -- you guys talked about this year's outage count being 51 and last year's being 68. Is there kind of a normal number there in average over the last 5 years of how many there are in a typical year?
David H. Dingus: In the U.S. nuclear market, it, usually, it runs in the mid-60s. And next year is the one that's going up to 68. Last year, I believe, it was around 65.
Robert Longnecker: Got you. And can you just provide a little more color on the delayed nuclear projects that you talked about in the United States? I didn't catch what those projects were.
Ashok E. Kolady: These are 2 projects active in the U.S. today. The first one is we have built since the '80s, both are -- one is in Georgia and one is in South Carolina. They will go in summer projects. And these are constantly in the news for being over-budget and delayed, and we are a major supplier for several of our operations to those. And we're also supplying to 2 Chinese projects. Again, these were delayed, as you may recall, in the news last year. China delayed all the nuclear projects when the Fukushima incident happened to review safety protocols. And they have restarted the program back. So combined, we have 4 sites that are under construction with a backlog. This year, we were expecting $35 million in product shipments that got delayed.
Robert Longnecker: Got you. And how much of your backlog is NLI?
David H. Dingus: We don't disclose that by operation.
Operator: Our next question will come from Cezary Nadecki of Schroder’s.
Cezary Nadecki: I have a question to Ashok on the Electrical and Industrial, maybe if you can help me out. Sorry if I missed it, but it seems like you guys kept the numbers for the NLI and WSI for the year. And then it seems like the weakness is stronger in the legacy operations. Can you talk a little bit, by segment, kind of what's going on there now? I'm assuming some of it could be nuclear, but are there other things on the transmission or industrial side that are causing the weakness? And what is the outlook for the rest of your fiscal year?
Ashok E. Kolady: The downgrade that we did on the revenue side is for nuclear shipments and the majority of that is NLI.
Cezary Nadecki: Well, then, if I look, you guys initially talked about 3%, 4% growth of the legacy operations, I think. The number 200 kind of sticks in my mind for the year. If I take out the NLI and WSI, it seems like you're at about 86 for the first 2 quarters. So is the 200 still a reasonable number? Is there something on the legacy side that's causing us to kind of look down year-over-year?
Ashok E. Kolady: During the last quarter, we discussed that we were anticipating that in the year, 3% to 5% up in our legacy business. And this quarter, we have lowered that. And right now, we're expecting a relatively flat year-over-year for the legacy business. If you look at -- they are close to 200 range. The growth we had forecasted, organic, was 3% to 5%. That was our estimate. Now we're taking that down to more of a flat year.
Cezary Nadecki: And can you kind of walk through what's causing that decline? And kind of what are you seeing in terms of weakness? Is it just nuclear, or is there other things?
David H. Dingus: It is primarily nuclear and also the overall power generation market in the U.S. for newbuild. As we discussed in the last call, the -- our core legacy business is driven by new construction, power and industrial facilities. So if you look at new construction for tradition -- especially traditional and fossil, fire and nuclear generation, we are in one of lowest years in near-term history, which is what drives that business.
Cezary Nadecki: Okay. And is it more coal-related or gas, or it doesn't really matter to you which side the construction comes on?
Ashok E. Kolady: We are energy source neutral. That's how we like to portray our business. Renewable, gas, coal, any mode of generation that we can participate equally well. But this year, overall, if you look at the total added megawatts added to capacity, it is a low year.
Cezary Nadecki: Okay. And just a one follow-up, gentlemen. I don't know if I missed it, but can you quantify the impact from GalvCast and G3 for the quarter?
David H. Dingus: Those were contributing -- oh, gosh, let me look. About $8 million in revenues and about $1.9 million, near $2 million, in operating income.
Dana L. Perry: That's all Canadian acquisitions.
Ashok E. Kolady: That's all Canadian. It's all 2 Canadian, GalvCast and G3 that you spoke of.
Operator: Our next question will be a follow-up from Noelle Dilts of Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Yes, just a couple of follow-ups. First, on your guidance, you have a pretty wide range built in for you EPS guidance. When you look at the low end there, does that assume some additional project delays? Or do you have to see some projects kind of move forward to get your high end? Can you just give us some thinking around what's going into your guidance?
David H. Dingus: I think if you look back, Noelle, it's the same spread that we've had for 5 years between the high and the low. And when you're in the project business, you can always get a pleasant surprise and you can get an unpleasant surprise. So we had to build some cushion in there. So I think it's more that than anticipation of a more shifting of our deferred shipment.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay. And then quickly, just going back to what you said on the utility you need to spend on some of the nuclear reactors, you mentioned $100 million for Fukushima. Is that associated with some of the upgrades that are kind of following additional regulation following Fukushima? Or what exactly did you mean by that?
Ashok E. Kolady: They have a list of recommended upgrades.
Noelle C. Dilts - Stifel, Nicolaus & Co., Inc., Research Division: Okay, okay. I thought so. I just wanted to be sure that that was what you meant.
Operator: And at this time, this will conclude the question-and-answer session. I would like to turn the call back over to Mr. David Dingus for his closing remarks.
David H. Dingus: Again, we appreciate your participation today. We remain, as we have said multiple times, bullish about our long-term outlook. We will get over this issue of some of the delays that have impacted and some of the variables that that has caused. But overall, we believe that our recent acquisition, our expansion of our services, as well as our products and the expansion of the geography in the Galvanizing, positions us beautifully for growth. We look forward to speaking with you at the end of the third quarter. Thank you very much, and you have a pleasant weekend.
Operator: Ladies and gentlemen, the conference has now concluded. We thank you for attending today's presentation. You may now disconnect your lines.